Operator: Good morning, ladies and gentlemen, and welcome to the Delta Air Lines June Quarter Financial Results Conference Call. My name is Lauren and I will be your coordinator. At this time all participants are in a listen-only mode until we conduct a question-and-answer session following the presentation. As a reminder, today's conference is being recorded. I would now like to turn the call over to Ms. Jill Sullivan Greer, Managing Director of Investor Relations.
Jill Sullivan Greer: Thanks Lauren. Good morning everyone and thanks for joining us. Our CEO, Richard Anderson is joining us remotely today and Ed Bastian our President, Paul Jacobson, our CFO, and the remainder of the leadership team is here in Atlanta today. Richard will open the call. Ed will then address our financial and revenue performance and Paul will conclude with a review of our cost performance and cash flow. To get in as many questions as possible during the Q&A, please limit yourself to one question and a brief follow up. Today’s discussion does contain forward-looking statements that represent our beliefs or expectations about future events. All forward-looking statements involve risks and uncertainties that could cause the actual results to differ materially from the forward-looking statements. Some of the factors that may cause such differences are described in Delta’s SEC filings. We’ll also discuss non-GAAP financial measures. All results exclude special items unless otherwise noted. And you can find a reconciliation of our non-GAAP measures on the Investor Relations page at ir.delta.com. And with that, I will turn the call over to Richard.
Richard Anderson: Thanks Jill. This morning we reported another record quarterly result. We maintained our revenue base despite an 18% decline in fuel prices, which allowed us to expand our pre-tax margin by 200 basis points, improving earnings per share by 22% year-on-year and generated free cash flow of $1.6 billion in the quarter. We also delivered a return on invested capital of 23.5% for the last 12 months. We benefited from lower fuel expense in the quarter despite a $600 million hedge loss. Excluding the impact of hedges our operating margin would have expanded nearly 700 basis points to more than 21%. As of July 1, the fuel hedge headwind we have faced over the last six months is behind us and we expect the fuel price we will pay in the second half to be in line with the industry. Our strong cash generation continued with $2.5 billion of operating cash flow and $1.6 billion of free cash flow for the quarter. This allowed us to accelerate returns to our owners with $1 billion in dividends and share buybacks while also reducing our adjusted net debt by another $250 million to $7.1 billion. We continue to run the industry's best operation by far. In the June quarter, we delivered 99.8% completion factor including 43 days with zero mainline cancelations. Our mainline on time rate improved two points to 85.3. None of our global or national competitors are even close to this level of performance. These outstanding results were made possible by the dedication of our employees who work extremely hard every day to provide an industry-leading customer experience and outstanding returns to our owners. Regarding the current environment, business conditions generally remain favorable, currency volatility continues to impact our international business while domestic yields have been under pretty significant pressure. Despite these headwinds the result we reported this morning marks the best June quarter in our history. We still have great momentum in the business and we expect to report record earnings again in the third quarter. Specifically, we're forecasting EPS growth in 3Q of well over 30%, operating margins of 19% to 21% and $1.9 billion of operating cash flow in the September quarter. We will use that cash flow to reinvest in the business, reduce our debt, return cash to our owners, all of which will be consistent with the capital deployment plan we provided to the marketplace last May. Last week we announced a strategic investment in GOL that will play a key role and helping us achieve our long term goals. Ed will provide specifics, but I’d highlight that building out our Latin network is a major initiative for Delta. Our stake in GOL will further this effort as the largest domestic carrier in Brazil and it will provide significant long term upside in the region for Delta particularly as we move toward open skies with Brazil, when we couple our investment in GOL with the significant investment we have in AeroMexico we have the foundation for the strongest network in Latin America. We have a long and successful history with our partner Air France KLM that has allowed us to build a very profitable Trans-Atlantic business that coupled with our Virgin Atlantic investment will allow us to continue to leverage that kind of model with new partners in other markets and regions of the world. I also want to comment on our fourth quarter capacity outlook. Margin expansion is a key component of the long term plan at Delta and adjusting Delta supply to meet market base demand is necessary to drive margin growth and to hit our long term financial targets. We're currently benefiting from lower fuel prices. We do not believe margin expansion driven largely by declining fuel prices is sustainable over the long term and our plan assumes raising fuel prices over time. Because of this, RASM growth is a necessary component of our business strategy over time and we will unilaterally determine Delta’s capacity at levels consistent with achieving our long term goals. Much like consumer retail our store sales must be positive year-over-year over the long term. For the fourth quarter, our domestic growth will be 2%. As we announced last April international capacity will be down 3.5% in 4Q. This is slightly larger change then we announced last April. This reduction in international capacity is driven by currencies and economic weaknesses in certain countries around the world. These actions will result in system capacity being consistent with last year’s levels and in line with current demand expectations which we expect will get to unit revenue to be roughly flat by year end. Lastly regarding the recent pilot vote, we were disappointed our pilots turned down an agreement that would have improved upon their already industry-leading contract. However, this outcome doesn’t mark any change to the strong working relationship we have with our pilots who are leaders in our operation and key stakeholders in the enterprise. We will continue to work together with them to find common solutions. We’ve been doing this quite well for the last decade and I have confidence that we'll continue to do so in the future. Operating our business with a long-term perspective has proven very beneficial for Delta’s customers, employees and share owners. We’ve been able to invest in our employees through wage increases, healthy profit sharing and job growth for our customers. We run absolutely the best operation in the world. We’ve improved our products, technologies, operations and service with nearly $10 billion in capital investment in the last five years. And for owner, we’ve returned over $3 billion in the last two years while improving the strength of our balance sheet with over $10 billion of debt reduction and we’ve increased our market capitalization to over $30 billion. We have a lot of upside in the business. We can do more in the future as we continue to execute on our plan the way we have consistently executed over the last decade. With that, I’ll turn the call over to Ed and Paul to go through the details of the quarter. Thank you.
Ed Bastian: Thanks Richard. Good morning, everyone. Thank you for joining us today. We delivered a record June quarter with pretax income increasing 14% to $1.64 billion. Our net income was slightly north of $1 billion or $1.27 per share, $0.06 higher than consensus. We expanded our operating margin 1.7 points to 16.8%, which is in line with our initial guidance range for the quarter of 16% to 18%. I’d like to thank Delta employees for their contributions to another record result, which we are pleased to recognize with an additional $411 million contribution to next year’s profit sharing payoff. We’re able to grow our topline slightly as the number of our revenue initiatives and non-passenger revenue sources help to offset a $116 million foreign exchange headwind. Corporate demand remains solid with volume growth of 3% in the quarter while that was largely offset by fare pressure. We continue to see good performance with our branded fares initiative. Total merchandizing revenues and fees grew by 11% led by incremental first-class revenue growth of 17% and comfort plus growth of nearly 30%. We increased our paid first-class load factor to 57% out eight points year-over-year on a base of 7% more first-class seats. Our enhanced agreement with American Express produced an incremental $60 million in revenue this quarter. Our partnership with AmEx remained strong. Despite these improvements the strong dollar and lower fuel surcharges remained headwinds for international business while softer yields in certain domestic markets resulted in revenues that fell short of our initial expectations. For the June quarter, passenger unit revenues declined 4.6% with 2.5 points attributable to currency and lower surcharges and the remainder attributable to lower domestic yields. This yield weakness domestically was limited to a small group of markets. In fact, three markets accounted for 50% of the overall domestic yield weakness. Despite these pressures, we're able to expand our domestic revenue premium to the industry, which now stands at 115% year-to-date. Margins did expand across all our domestic hubs in the quarter and excluding the effect of our fuel hedge losses achieved a 23% domestic margin up 800 basis points relative to last year. Relative to some of our growth initiatives, Seattle performed well absorbing 35% higher capacity while maintaining RASM levels. We’re also pleased with the performance of our JFK long-haul markets especially the LAX in San Francisco Transcons that we announced late last month that we'll be adding additional and upgraded service as United exits JFK. In the Trans-Atlantic, unit revenues declined 11.5% with over six points of impact from currency and fuel surcharges. We faced a tough comp in the region this quarter as Trans-Atlantic unit revenue improved by more than seven points last year. In core European markets, we saw improved U.S. point-of-sale demand, but this was more than offset by a reduced point-of-sale demand in Europe and the effect of the weaker Euro. While we continue to face headwinds in Africa, the Middle East and Russia, we're seeing some positive signs in places like Johannesburg. We continue to make capacity adjustments in these challenging markets including the suspension of service to Moscow for the upcoming winter season. We're pleased with the performance of our two Trans-Atlantic joint ventures this quarter as these relationships through the Air France, KLM and Virgin Atlantic saw margins expand once again despite continued currency pressure. We’re using the success of these joint ventures as the model as we deepen our partnerships with carriers in other parts of the world. In Latin America, unit revenues were down eight points on 8% higher capacity. This decline was driven by currency and pressure from last year’s Venezuelan capacity reductions. This quarter marks the last of our high single-digit growth in Latin America as we’ve largely finished building out that portion of our network. Going forward, our capacity growth in the region will return to levels more consistent with the system average. Our partner's GOL and AeroMexico contributed $25 million in incremental revenue this quarter and we're taking advantage of the opportunity to expand upon these relationships. As Richard highlighted, we will be increasing our equity investment in GOL by up to $56 million as part of larger rights offering, which will result in Delta potentially increasing our position up to 9%. At the same time, we will be guaranteeing $300 million of unsecured debt to be entered into by GOL. That guarantee will be secured by GOL’s interest in Smiles, the company’s publicly traded loyalty program. This will raise GOL’s cash position to a level that ensures that carrier will have ample liquidity in the difficult economic environment in Brazil. Adjusted for these initiatives, GOL would have ended its second quarter with $1.1 billion in liquidity, 35% of their annual revenues. We feel great about our long-term prospects with GOL and are pleased to stand behind the company and the work Kakinoff and his team are doing to address these challenges. As part of the transaction we’ll extend our exclusive commercial partnership with the target of getting to a joint venture with GOL as Open Skies with Brazil becomes effective later this year. When combined with a joint venture that we have planned with AeroMexico would involve immunized alliances in two of the two largest aviation markets in Latin America. In the Pacific, the revenue environment remains challenging with the unit revenues down 8.5% on 4% lower capacity and roughly 12 points of impact from FX and fuel surcharges. Specifically, the Yen revenue headwind in the quarter was $27 million net of hedges. As we’ve laid out previously, restructuring our Pacific network is one of our biggest opportunities for margin improvement going forward and the early results of these efforts are positive. As part of these efforts, we’ll be reducing our winter capacity into Pacific by 6% to 8% including retiring six of the 747s and cancelling the loss making Seattle Canada service. And now looking forward to the September quarter guidance, we expect the revenue environment across the system to remain under pressure and we’re forecasting total revenue to decline slightly from prior year levels with RASM down 4.5% to 6.5% on three points of higher capacity. The quarter will be a bit choppy with the July and September months posting better results than August. However we’re expecting fuel expense to be a $1 billion lower year-over-year, which will more than offset this revenue weakness to result in another record profit with an operating margin of 19% to 21% of more than 400 points year-on-year. As Richard, mentioned the right balance of supply and demand in the business is key to achieving positive unit revenues over the long-term. This is a fundamental component of our plan and the financial targets we outlined at our capital meeting in May. Based on the current environment we believe that our previously announced capacity plans are still at the appropriate levels for this winter. As such, we’re planning for 2% growth domestically and a 3.5% reduction internationally, which is a 50 basis point further reduction from what we previously announced, which will result in overall system capacity being flat year-over-year in the fourth quarter. We believe this plan is in line with current demand and GDP forecast and it will allow us to get our unit revenue back on the right trajectory with our goal to be flat by the end of the year. Now I’ll turn the call over to Paul, to go through the details on cost and cash flows.
Paul Jacobson: Thanks Ed and good morning, everyone. Consistent cost of execution continued again in this quarter and was a key contributor to the 160 basis points of operating margin expansion relative to last year. Total operating expenses were $85 million lower as the decline in fuel cost offset the investments we’re making in our product as well as $71 million in higher profit sharing expense. Non-fuel CASM declined under a point on a 3.4% capacity increase. This performance was slightly better than guidance as a result of some favorability and one-time benefits that occurred during the close process. This marks the eight consecutive quarter of non-fuel CASM growth below 2% and the sixth consecutive below 1%. As is evident in this result, the entire Delta organization is highly focused on controlling cost. Our updating progress, maintenance initiatives and other productivity improvement efforts were the key drivers of this strong cost performance. As an example, since 2010 in the domestic entity we've increased capacity approximately 1.2% per year, but that’s been on 13% total fewer departures and 9% total fewer aircraft over that time. FX also benefited non-fuel CASM by about a point. We expect non-fuel CASM to be flat in the September quarter as our cost reduction initiatives continue to keep our performance below our 2% growth target. Moving on to fuel, our total fuel expense declined 16% as lower market fuel prices more than offset higher consumption and our hedge losses. Our all-in fuel price was $2.40 per gallon down from $2.93 in the same period last year. Hedge losses were at $0.58 per gallon headwind in the quarter. The refinery made a $90 million profit this quarter versus a $13 million profit the same period last year driven by lower crude cost and improved mix of North American supply. A continued favorable crack spread environment and increased throughput also contributed to the refinery's profit. Over the last four quarters the refinery has produced a cumulative profit of $300 million. We expect that trend to continue to build in 3Q with a projected profit of approximately $60 million. With the recent sharp drop in fuel prices, we currently expect our September quarter fuel expense will be $1 billion lower year-over-year, net of roughly $200 million of hedge losses. At $1.90 to $1.95 per gallon, our second half fuel price will be 28% lower than what we paid in the first half of 2015 according to the current curve. We expect this price will be in line with the industry average for the balance of the year. For the remainder of the year, we’re approximately 15% hedged against an increase in prices with approximately 85% downside participation to Brent prices of $40 per barrel. Overall, we continue to expect fuel cost to be an enormous tailwind and provide a net benefit of more than $2 billion for Delta this year. We’re also well positioned to benefit if fuel remains at these levels for 2016. Our already strong cash flow will continue to benefit from these lower fuel prices, which will allow us to return cash to our owners, while also further strengthening the balance sheet by paying down debt and funding our pension plans. For the June quarter, we generated $2.5 billion of operating cash flow net of $300 million in pension contributions. At this point we’ve made all of our planned 2015 contributions for a total of $1.2 billion. We also reinvested $900 million back into the business primarily related to 737, 900 and A330 deliveries as we continue our long-term focus. For the September quarter, we’re projecting roughly $800 million in capital expenditures. With the $1.6 billion of free cash flow we generated during the June quarter, we continued our tap that we said out in May of increasing shareholder returns with $72 million of dividends and 925 million of share repurchases during the quarter. We completed all that remained under our $2 billion authorization from 2014 as we had planned. We also opportunistically repurchased an additional $200 million under our new $5 billion authorization as we took advantage of share price weakness during the quarter. In addition we repurchased another $50 million in just the first two weeks of July. We expect to return nearly $2.5 billion to shareholders this year consistent with our goal of returning at least 50% of free cash flow through dividends and buybacks. Adjusted net debt at the end of the quarter was $7.1 billion and our debt reduction lowered interest expense by nearly $50 million for the quarter relative to last year. Our goal is to achieve and maintain $4 billion in adjusted net debt levels by 2017 and we’re on track to do so. The improvements in our balance sheet were recently recognized with a credit upgrade from Moody's, which now has Delta two notches away from investment grade alongside the other agencies. In closing, I’d like to thank the entire Delta team for another record-breaking quarter, in fact our ninth consecutive. We have the best employees in the industry and our performance is driven by your contributions. Thank you. Jill?
Jill Sullivan Greer: Lauren, we're now ready for questions from the analysts if you could give everybody instructions on how to get in the queue.
Operator: Thank you. [Operator Instructions] Our first question comes from Jamie Baker with JPMorgan.
Jamie Baker: Hey, good morning team. First question for Richard, I wouldn’t expect you to comment on the legal merits of the DOJ’s recent inquiry, but I am curious in your mind in a worst case scenario, if you can envision an outcome that would impair your current level of transparency?
Richard Anderson: I don’t really think I want to comment on any of that Jamie.
Jamie Baker: Okay. All right.
Richard Anderson: But I think that we’re going to always be transparent with our investors. I don’t think that there’s any legal prohibition on being transparent unilaterally that is with our investors. And if you think about the data that’s available on airlines, our schedules are public. We’re filed in OAG and ATP Carro and under DOT regulations we're required to file huge amounts of data with the government in addition to all the public data that’s made available through the GDS Systems. So bottom line is we’re going to continue to comply with the law, act unilaterally and do our best to give our investors visibility into our business.
Jamie Baker: Excellent, I appreciate it. And the follow-up, since you brought up the topic Richard to the pilots, rather than just rely on my contacts or trolling the message boards, what are the three or four biggest reasons in your mind that the PA was rejected by a fairly wide margin? Was it noise around the sick leave issue, changes around JV flying and how Virgin got treated? I’m just trying to get a sense for what portions of the drawing board you might need to return to as opposed to just pay rates or something like that?
Richard Anderson: I think it’s premature to do that. The Delta Master Executive Council is going to be meeting in a couple of weeks and we really need to hear back from them. I think the overarching story is that we have an incredible track record with them and if you think about it, we’re still five months ahead of the amendable day. So bottom line is the relationship is still strong. It’s intact. We have a decade history of being able to work well together and we’re still operating on both sides in that same spirit.
Jamie Baker: Got it. I appreciate the answers Richard, take care. Safe travels.
Richard Anderson: Thank you.
Operator: Our next question comes from Michael Linenberg with Deutsche Bank.
Michael Linenberg: Yes hey, two questions here Ed. I want to go back to Trans-Atlantic, I think you talked about fuel surcharges and currency weakness and accounting from six points of the 11.5% decline and then I know you also had a difficult comp. What sort of component or as it relates to connecting flows and how that number builds up, what are you seeing on just your connecting traffic to your partners as we see a lot of capacity getting added into the marketplace? Is that also driving that number down or putting pressure on that -- on the Trans-Atlantic PRASM?
Glen Hauenstein: Mike, its Glen.
Michael Linenberg: Hi Glen.
Glen Hauenstein: One of the things that our great relationship with Air France scale I mean now Virgin, allows us to do is to do contract during periods of lower economic growth and route that traffic over the European hubs in Amsterdam in London. So what you see with us for example as we reduce our capacity into Russia because of the weakness in the demand to Russia, we expect to generate a significant or retain a significant amount of that over those hubs and so as we work our way through this situation with the lower Euro and the lower European demand, we actually would increase -- we would expect to increase our connecting traffic over our European hubs.
Michael Linenberg: Yes I am just -- but I’m wondering Glen are you seeing some displacement of that traffic to competitors such as Emirates or Etihad or Qatar as they continue to add more and more seats into the marketplace? And I’m looking more like U.S. into India, Middle East, Africa because there is a decent amount of flow traffic between you and your partners.
Glen Hauenstein: Correct. As we’ve stated in the past, we are not -- we have not been the largest player in the U.S. to India or the Indian Subcontinent but it is a significant long-term threat to us. As much a missed opportunity, we believe that under the right and clear circumstances that we should be able to fly non-stop from the U.S. into India.
Michael Linenberg: Okay. Great and then just quick one monthly PRASM, is this -- was June the last month or are you going to continue to provide that?
Ed Bastian: We’re going to continue to provide it for the time being.
Michael Linenberg: Great, thanks Ed.
Operator: Our next question comes from Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth: Thanks. Good morning. Appreciate your commentary on the small number of markets that drove yield weakness in the U.S. I wonder, one, did you comment on what you think domestic unit revenue will be in that third quarter guidance? And then with respect to those weaker markets, are you detecting any firming or how is your maybe forecasting approach changed with respect to those smaller but weaker markets?
Ed Bastian: Duane, we did not disclose our domestic unit revenue expectations for the third quarter, but what I can tell you is that we have embedded within our third quarter overall unit revenue guide the expectation that through the summer that domestic weakness is going to remain.
Duane Pfennigwerth: Okay. Thanks. And then just on the branded fares, can you expand a little bit about what’s driving that $56 million and how you define whether or not that that’s incremental.
Ed Bastian: Well, our three really branded fares that we're talking about today, one is basic economy, which is our spirit match fare if you will or ultra low cost carrier which is a de-comp dented product. We have Comfort Plus, which we re-launched in the quarter with a few additional amenities and we saw a huge uptick now. We believe this is all incremental because the transaction is actually a post purchase transaction. So you have to go in and buy the additional service upgrade after you purchased your ticket and so we view that as fully incremental. And then first-class up-sell is really the amount of incremental seats that we’ve sold net of the cost of or the displacement of the coach fares that were upgraded from. So achieving a 57% paid load factor in first class is another stepping stone along our path. I believe when we started, we told our investors that we file this as a several billion dollar opportunity in total with all four of these classes intact or three of the classes intact in the main cabin and so 70% is our long-term goal. We’re at 57 today and we started at 13. So we’ve made quite a bit of progress in the last several years on that front and we’re very pleased with the results in all of our product lines.
Duane Pfennigwerth: Okay. Thanks very much.
Operator: Our next question comes from Julie Yates with Credit Suisse.
Julie Yates: Good morning. Thanks for taking my question. First just a clarification on commentary. It sounds like you're now saying the goal is to achieve flat unit revenues by the end of the year and I believe at the risk of getting too granular here that at a conference in June you cited that the company would be on a past to get to positive unit revenue by the end of year. So am I reading too much into that or is there slight shift here?
Richard Anderson: There is a no shift in that Julie. Our plan is and our goal is to get there by the end of the year and we would like to get to positive. But we got to get to flat before we get to positive right.
Julie Yates: Makes sense. Okay. And then just a quick one on buyback. So clearly the market is not ascribing the same value to fuel driven earnings versus PRASM driven earnings. And so on the scenario which if fuel stay below $2 in the market continues to undervalue your stock with a PE multiple sub ten times, how do we think about the sustainability of the nearly $1 billion buyback we saw in the second quarter?
Paul Jacobson: Julie, good morning. This is Paul. Clearly as we articulated back in June, we have taken the opportunity given these low prices to accelerate the buyback a little bit. Part of our long term goals is what we’ve talked about is returning at least 50% of cash to shareholders in a balanced fashion. So we don’t have any comment on what our pace is going to be in the second half of the year. But we need to continue to make progress against all of our goals that we outlined in May.
Julie Yates: Understood. Thank you, Paul.
Operator: Our next question comes from David Fintzen with Barclays.
David Fintzen: Hey, good morning, everyone. For steadying the supply and the demand and getting that right into here and can you just talk a little bit about what’s embedded in kind of your domestic demand assumption? Is it some of that weakness we’ve seen lately for our stabilizes improve? Just kind of how are you really starting to think about the end of the year?
Glen Hauenstein: Hi, this is Glen Hauenstein. So I think as you look at where the weakness is, it is not in corporate demand. It is in the yield that we’re obtaining from corporate demand. And so as we continue to move forward, we don’t talk about future pricing initiatives we never have and so -- but I would say is I think that corporate demand remains very, very strong and very, very strong even out of the cities that have had this yield impact and how the industry reacts will determine how those three cities do.
David Fintzen: Okay. Okay, appreciate that and then just quietly bigger picture, for getting that kind of record earnings on lower fuel, lower RASM, does that start to change some of the -- through return on investment on some of the density as of the up-gauging? Does that kind just mitigate some of the speed of up-gauging regional etcetera, or is that still sort of ahead and sort of incremental opportunities.
Richard Anderson: Let me take this. Where the up-gauging strategy is an important -- continuing important part of our fleet strategy because no matter what, operating the fleet more efficiently makes good sense from a margin standpoint. And so when we up-gauge 50-seater to a 76-seater or a 76-seater to a 100-seater and all the way up the line, we’re still going to be able to operate a larger number of ASMs with a fewer number of shelves in that kind of efficiency. If you just think about it from a factory standpoint, we’re running our factories much more efficiently and you’ll always invest in efficiency in an industrial business.
David Fintzen: Okay, I appreciate that. Thank you.
Operator: Our next question comes from Darryl Genovesi with UBS.
Darryl Genovesi: Hi good morning guys. Paul does the CASM ex-fuel guidance for the third quarter contemplate any deal with the pilot tap-ins that actually impacts the third quarter?
Paul Jacobson: We never those -- we never project future labor deals in our cost guidance.
Darryl Genovesi: Okay. And then on I guess on pension discount rates seem to be up about 50 basis points year-to-date. Could you guys just give us say an update on where the pension expense and the deficit is projected at this point?
Paul Jacobson: Sure Darryl, Paul. The sensitivity on the underfunded pension plan is about a $1.5 billion for every 50 basis points. So we would expect to see obviously some goodness on the liability there. The rate isn’t as sensitive on expense, but as we continue to fund above the minimum contributions we should see some expense going here as well.
Darryl Genovesi: Thanks and then if I could just squeeze one last one in, on the American Express deal, you laid out at the Investor Day a plan to essentially double our revenue stream over the next four, five years. Can you give us a sense of how much of that incremental revenue should drop due to earnings?
Paul Jacobson: I would anticipate we haven’t publicly disclosed what the deal or the margin performance of that is, but there is a high contribution margin associated with the improved AmEx economics.
Darryl Genovesi: Okay. Great. Thanks very much guys.
Operator: Our next question comes from Andrew Didora with Bank of America.
Andrew Didora: Hi, good morning everyone and thanks for taking my questions. I guess Ed, a housekeeping question, are you able to disclose kind of the cadence of domestic PRASM over the course of 2Q by month?
Ed Bastian: Domestic PRASM by month, I don’t have that in front of me, but we’ve disclosed that already.
Andrew Didora: Okay. I will add just another words.
Ed Bastian: We did overall not domestic. We will need to get back to you. We don’t have that in front of us.
Andrew Didora: Okay. And then Paul in your prepared remarks, you had 15% hedged for the rest of the year obviously remains lower than where you have been in the past. How are you thinking about hedging now that oil has stayed in this kind of 60-ish dollar per barrel range now for good part of the year? Are you content remaining to float at these levels? Are you interested in lettering on some more hedges as we go throughout the course '15?
Paul Jacobson: Good morning, Andrew. We haven’t actually materially changed our hedge profile really since February. We’ve been kind of sitting back watching the market there. There isn’t really any urgency here and we’re not really changing the course of action and we’re content with where the book sits right now.
Andrew Didora: Thank you.
Operator: Our next question comes from Helane Becker with Cowen & Company.
Helane Becker: Thanks very much operator. Hi guys. Thanks for the time. Did you say and I missed the three cities that you were seeing weakness in, in the demotic market and can you say if you didn’t?
Paul Jacobson: We did not say but they are Chicago, Dallas and Orlando.
Helane Becker: Great, okay. Thank you. And then my other question is, you guys do deliver a pretty amazing product to your customers on out of some pretty tough markets in which top rated like the Northeast where you get a lot of thunderstorms and a lot of air traffic control issues and so on. So two questions A and B, one, as you get bigger especially in New York, how do you ensure that you continue to deliver that great operational performance and then B, is do your code share and JV partners deliver the same product and how do you ensure that your customers get the same product across all Delta code, coded flights. Thanks.
Richard Anderson: Let me try to answer those. As to the second point without going into the specifics because they're proprietary to Delta, we have very good programs to be certain that our products are consistent across our code share partners both domestically and internationally. And we have a pretty significant focus on that and some firm specific proprietary strategies and processes that actually have our connection carriers running better on reliability basis in some of our mainline competitors. And I think in New York and in Minneapolis and Detroit where you have really cold weather all the time in Atlanta, we have just made a lot of investments and I think have the leading management operations management team in the world for an airline. And if you look at the performance of our operation, there is no airline even close to our size that performs at the kinds of levels and I think Ed had described it well at an Analyst Conference a while back last year and we’re going to beat the record this year, but last year we had in the domestic system I think 195 days where we didn’t cancel a domestic flight. I think American, United and Southwest together add 12 and it just -- that same operating knowhow and capability which is driving huge share and revenue shifts to Delta can continue to improve and will continue to improve because we’re just about at scale in both JFK and LaGuardia.
Helane Becker: Okay. So as we think about that, it’s really that you’re making investments on the technology side or on that the air, I guess the air side technology wise in an effort to really drive this improved performance because you’re also doing it with fewer air traffic controllers and a pretty big decline in the ATC system as well.
Richard Anderson: We are, but we also had employees that are all incredibly committed to making the airline run and there is -- in the end, there is no substitute for the power of the -- and the knowhow of the employees. But I would say it’s a merrier of investments. Its better planning tools. It's a lot of technology investment. Its core reliability investments. Its process investment and how we build our schedules. It’s a very long list of actions that we’ve taken over time and investments that we’ve taken over time.
Helane Becker: Great. Thank you so much for the time. I really appreciate it Richard.
Paul Jacobson: Helane, if I could jump in I just want to clarify one, Andrew from Merrill Lynch asked earlier about our domestic unit revenues by month, domestic unit revenue in April was flat. Domestic unit revenue in May was down 3% and in June it was also down 3%. So I just wanted to give that additional of that.
Operator: Our next question comes from Tom Kim with Goldman Sachs.
Tom Kim: Hi, good morning. Thanks for your time. Glen, I just want to press a little bit on your comment on corporate demand, how do I sort of reconcile some of the industry commentary about the weakness in close in bookings with your comment that corporate demand remains really strong.
Glen Hauenstein: I don’t know where that weakness in close in bookings came into play and I apologize for not knowing when that comment was made, but it really has not been a weakness in close end bookings. It's been a weakness in close and yield and there is a big difference in there. If corporate was not travelling, that would be one that where there was a demand weakness in terms of total load factor that would lead you to one conclusion. If there was a weakness in Europe because of a change in pricing that would lead you to a different conclusion. So I did want to clarify that because I have read it in several reports where people were talking about close in demand deterioration, which is not what Delta has experienced, but we have experienced closing yield deterioration in several key business markets.
Tom Kim: Okay. Thanks for clarifying that. And then I just wanted to also ask you maybe a little bit of a longer-term question in nature with regard to ancillaries and your other segment category. This year looks like it’s going to be a flat if not a down year for passenger revenue, but clearly you’re seeing really good growth in contribution from other avenues and I’m just wondering we had nearly two strong good years of growth, can you give us a sense of what 2016 growth rate should look like as we start to try to model something around? Is it something that’s arguably a little bit more defensive or little bit more resilient where we consider kind of head on little bit more certainty?
Richard Anderson: I think we’ll save that for our Investor Day later in the year, but while it's safe to say is some of the products are very, very popular with our customers are still very difficult to purchase from us and so 2016 is about arguably to bring us to the market in a much more user-friendly environment and continue to expand our products and services we have. So we see a lot of continued upside through '16 and I think we’ll save the punch line for our next Investor Day.
Tom Kim: Okay. Fair enough. Thanks a lot.
Operator: Our next question comes from Savi Syth with Raymond James.
Savi Syth: Hey good morning. Two questions, the first is on the third quarter unit revenue guidance, I was just wondering if you could provide a little bit more color on what you’re expecting from an FX and fuel surcharge? And then generally if there is any expectation of trend change within the regions?
Richard Anderson: We’re pulling out little bit of it, Glen, do you have other ones. Go ahead.
Glen Hauenstein: FX surcharges are about half a point.
Richard Anderson: Okay.
Paul Jacobson: Savi you asked for the FX impact and the impact of surcharges, the FX is about three points and surcharge is about half point for the third quarter.
Savi Syth: Okay. And then generally the trends in there especially in national regions you’re expecting a continuation of what you’re seeing in the second quarter?
Richard Anderson: Yes, we are.
Savi Syth: Okay. And just a second question on the -- in Brazil and Mexico with the Open Skies like they're coming on here and the potential to do a antitrust immunized JV with your partners; just wondering, one is there sufficient swaps in this markets to take advantage of a situation and then also what a kind of ATI JV might contribute versus the type of partnership we have today with these partners?
Richard Anderson: Well obviously in the key markets in Sao Paulo, Mexican City there is a lot constrained and this will take time to continue to build out the efficiencies, but as we create the joint ventures and get our operations working together, we think there will be opportunities to certainly increase throughput there in the big markets and then to me more importantly working throughout the domestic landscape in both markets.
Savi Syth: What’s the benefit of getting an ATI JV here and I know the chance you can just do a little bit more scheduling and what can you do today that you could do with that and what kind of contribution can we think of?
Richard Anderson: With ATI protection, we can go to the market together. So we can sell together. We schedule together. Our international feet, today we can’t do that in those markets.
Savi Syth: Thank you.
Jill Sullivan Greer: We’re going to have time for one more question.
Operator: Our next question comes from Joseph DeNardi with Stifel.
Joseph DeNardi: Hey thanks. Good morning. Sorry to harp on the PRASM here, but just kind of the walk from 3Q to 4Q, I guess the sense that there is some skepticism about the flat 4Q, is it just a function of the surcharges and FX comps get easier in 4Q and then you get the benefit of lower capacity. Is that how you guys are kind of planning forward to get to flat in fourth quarter?
Richard Anderson: To be specific we said by year-end. So we set by fourth quarter and yes, there will be considerable amount of capacity reallocations potentially in the international arena. We will lapse the effects, the big effects of the unit revenue hedge largely from the fourth quarter on FX and our goal is to get the -- as we’re heading into 2016 on a positive trajectory.
Joseph DeNardi: Okay. And then Glen on the basic economy product, can you just walk me through how broadly that’s deployed across the network at that point and whether that’s contributing to any of the yield weakness you're seeing domestically?
Glen Hauenstein: Absolutely it’s not contributing to the yield weakness because it’s a very restricted product that really isn’t purchased by most of our corporate clients. So as a matter of fact many of the corporate agreements we have exclude that as well as here in the marketplace. So what we’ve seen is a very high up-sell rate from that. Once people see what that fare is and what it offers that they’re actually not purchasing that. So through delta.com when you look at that fare and then you are presented with other option 65% of the customers opt out of that fare. And so we actually think that’s yield accretive for leisure and really not very applicable for business travelers.
Joseph DeNardi: Okay. So as you see more people opt out of it, does that result in you guys reducing the capacity that you’re allocating to basic economy?
Glen Hauenstein: No, when I say opt out of that fare that means they’re purchasing a higher fare on that flight. So if and let's just give an example of this, if the lowest fare from Detroit to Orlando is $59 and that was match of an existing spirit fare from it was presented on delta.com the $59 gets you a product that is without a seat assignment most people are opting not to take that fare, but to take the next higher fare, which is essentially an added on price.
Joseph DeNardi: Okay. Thank you.
Jill Sullivan Greer: Okay. Let’s then include the analysts portion of the call and I’ll now turn the call over to Kevin Shinkle, our Chief Communications Officer.
Kevin Shinkle: Thanks Jill. We have a limited amount time for media. So we'll as many questions as possible. Please keep them brief and limit yourself to one follow-up. And with we'll go to our first call.
Operator: Our first question comes from Susan Carey with Wall Street Journal.
Susan Carey: Good morning. Could you all tell us a little bit more about your plans for Skymark?
Ed Bastian: Sure Susan. This is Ed. We are discussing with the creditors of Skymark the opportunity to invest as part of their rehabilitation and reconstruction process. We’ve long been fairly public about our interest in having a local domestic Japanese partner. This is an opportunity essentially to create that, but I think it’s premature to speculate as to the odds of success of where this is going to go given there is a lot of unique attributes to the Japanese rehabilitation process that are been explored and we have -- we’re in the discussion phase.
Susan Carey: Thank you. Let me just follow-up with one more, what’s going to happen to the airplane orders for the 737900s and the Embraer 190s as a result of this pilot rejection?
Richard Anderson: Those orders will be canceled.
Susan Carey: That’s Richard speaking.
Richard Anderson: Yes.
Susan Carey: Okay, thank you.
Operator: [Operator Instructions] Our next question comes from Dominic Gates with Seattle Times.
Dominic Gates: Hi, wanted to ask first you had a very heavy growth here in Seattle 35% year-on-year. Are you expecting the same level of growth to continue? What’s your projection?
Richard Anderson: We couldn’t hear that question. Could you just speak up.
Dominic Gates: Sorry, I’ll switch to handset. Are you expecting to maintain the same level of growth out of Seattle in SeaTac as you've had in the past year?
Richard Anderson: We have said that our growth will start to meter down a bit, but we still are projecting future growth in SeaTac yes.
Dominic Gates: All right, but do you got a number on that?
Richard Anderson: We have not given a number, no.
Dominic Gates: And can I just follow-up the longer terms Transpacific strategy, could you just talk about where you see that going and about your fleet replacement plans there?
Richard Anderson: We think that the Pacific continues to be a bright spot in terms of global economic development and Seattle of course is our best positioned U.S. hub. We’re very enthusiastic about the results to date in Seattle and today as of last month we are connecting now to over 700 people a day in SeaTac to firm our domestic system to our international network. And that’s why it’s very important for us to continue to work with the city to ensure that we had adequate facilities to be able to create a world-class connecting opportunity in the City of Seattle. So we’re very enthusiastic about the potential in the future and we’re committed to working with the communities to make sure that, that facility is a world-class experience for connecting customers.
Operator: Our next question comes from Jeffery Dastin with Reuters.
Jeffery Dastin: Thank you very much for your time. Would a deal with Skymark may strengthen Delta’s relationship with Korean Air less important or would the two complement each other?
Richard Anderson: We’re not going to speculate on future transactions Jeffery.
Jeffery Dastin: Okay. Thank you very much.
Richard Anderson: Well, if there are no other calls, I think we can conclude -- no other questions, we’ll conclude this call. Thank you very much.
Operator: This concludes today's conference. Thank you for your participation.